Operator: Ladies and gentlemen, hello, everyone, and welcome to Bladex's First Quarter 2021 Conference call on this, 5th day of May 2021. This call is being recorded and is for investors and analysts only.  Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast and on the bank's corporate website at www.bladex.com. Joining us today are Mr. Jorge Salas, Chief Executive Officer; and Mrs. Ana Graciela de Mendez, Chief Financial Officer. Their comments will be based on the earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934.
Jorge Salas: Thank you, David, and good morning to everyone joining us today to discuss our first quarter results. I'm here once again with Ani Mendez, our CFO, and a few members of our team. It's really just over a year since the start of this painful pandemic. The success in containing the virus and the severity of the economic impacts vary significantly across the different countries in the region. With this in mind, I would like to take this opportunity to acknowledge the commitment of our employees, our clients, our correspondent banks and all of who have helped us navigate this difficult time. To all of you, we express our most sincere gratitude. Let's begin with Slide 3. This morning, I would like to provide some context around our results for the first quarter after a year that has been unlike any other. I joined Bladex a little more than a year ago. I joined a bank with a clean balance sheet and incredibly competent and committed team and a mandate from the Board of Directors to explore different avenues to grow the bank and to return more value to shareholders. No sooner have I started the job, the world had been hit with the global pandemic. Not surprisingly, priorities immediately changed. Like most companies at that time, the immediate step utilized was to adopt a defensive approach to ensure the bank's stability, reserve capital to maintain continuity of operations and to protect the wellness of our employees. As I have mentioned in previous calls, to achieve this goal, Bladex mainly used the different levers in this business model, including an immediate and significant reduction by design of our credit portfolio in the second quarter of 2020. That allowed us to steer through what was perhaps the most difficult global environment since our founding more than 40 years ago. The results speak from themselves. We entered 2021 with a sound credit portfolio with almost 0 NPLs, a robust funding structure and a comfortable liquidity position.
Ana de Mendez: Thank you, Jorge, and good morning to all. Now let's move on to Slide #8, please, on the bank's quarterly reports of operations. So profit for the first quarter 2021 was $12.8 million, down 19% on a sequential quarter basis and 30% year-on-year, mainly driven by lower net interest income. This relates to the impact of a sharp decrease in LIBOR-based rates in the bank's assets and liabilities, coupled with loan average volume still behind pre-COVID level, even though the bank has shown a steady loan growth trend for 3 consecutive quarters, as Jorge just mentioned. I will be addressing the NII variation in more detail in a few minutes. Results for the quarter also reflect stable commission income, mainly from the letters of credit business with an important participation in the LC confirmations for the imports of refined oil. With respect to fees from restructuring and syndications activity, for the first time since the onset of the crisis, we are starting to see traction in a pipeline of value-added transactions. We just announced one in late April, a $300 million facility for CMI Energía, a leading player in renewable energy generation in Central America, in which Bladex acted as joint lead arranger. We expect to see more of this kind of activity in the coming quarters. Expenses remained closely controlled, down 10% on a sequential quarter basis due to the usual seasonality of the first quarter of the year. Year-on-year, expenses were down by 13%, mainly on lower personnel expenses mostly related to decreased performance-based variable compensation provision. In addition, the bank recorded no credit provisions during the quarter as originations remain focused on high-quality countries and sectors, while the bank continues to downsize riskier exposures, being able to collect virtually 100% of scheduled maturities. So let's move on to Slide 9, where we present the trends in annual rates and volumes, which explain lower net interest income of $18.9 million for the quarter, down $6.9 million or 27% year-on-year. Even with the same net lending spread differential of about 150 basis points, when compared to the same period of 2020 and of 2019, net interest income was down $4.2 million year-on-year, mainly on lower LIBOR-based rates, which decreased 76% or about 153 basis points year-on-year and by 83% or around 239 basis points when compared to a normalized 2019. Since the bank runs a mostly floating rate book, it's obvious that in a changing market rate environment, both sides of the balance sheet resist within a short period of time. In this manner, the portion of assets financed by liabilities is generally naturally hedged. This is why net lending spread remains relatively unchanged at 150 basis points. But the major impact relates to the portion of assets financed by the bank's equity, as the overall asset yield decreases on lower market rate with the impact resulted -- resulting in lower net interest margin and net interest income.
Jorge Salas: Thank you. Ani. As I said at the beginning of our call, I joined a bank with a clean balance sheet and an incredibly competitive and committed team and a mandate from the Board of Directors to explore different avenues to grow the bank and return more value to shareholders. Today, a year later, although the pandemic continues to pose significant challenges for the region, we have an even cleaner balance sheet and even more committed team, and the Board mandate remains unchanged. We believe that the bank has many opportunities to grow and to increase its product and service offerings. Bladex is well positioned to navigate 2021, and we look forward to reporting our progress to you in the future quarters. David, we can now open it up for questions.
Operator:  And our first question comes from  with .
Unidentified Analyst: I have two questions. First, can you give us any insight into the thought process behind the Board's decision to announce a share repurchase? And second, Jorge, you mentioned that you were hired with a mandate from the Board to implement new growth opportunities. And, of course, during the past year, it's been impossible to implement anything, but can you give us some color now on what kinds of opportunities you're thinking about?
Jorge Salas: So, the name of this gentleman is El. So thank you for your question. Let me start on the share buyback. So let me start by saying that we are convinced that the market price of the stock is trading at 55% book value. It's simply too low. It's simply too low. Bladex, unlike most banks in the region, has a pretty clean portfolio. This is important, obviously, in and of itself, but also because it gives management the ability to focus on growth. Bladex operates in a region that overall is showing very positive signs, particularly in the segments that we operate, the trade, the trade finance segment. Furthermore, as most banks in the world, we have ample liquidity, but more importantly, in this context, Bladex has an ample capital base to grow with our capital allocation level today being so high. So given all that, we view this share buyback could give us another way to return value to our shareholders in a tactical manner right way. So keep in mind that as the region recovers, we will be able to lend to a wider client base and further diversify our portfolio. And yes, we do plan to reach pre-COVID portfolio levels. I don't know if you -- the second question was related to -- can you repeat the second question again please?
Unidentified Analyst: Sure. You mentioned that you were hired with a mandate to implement new growth opportunities and it's been impossible. But what are your thoughts today on what those opportunities might be?
Jorge Salas: Thank you for that question. And yes, after a year in life, not necessarily in the office most of the time for obvious reasons, some things have become more and more evident. Bladex model has proven to be resilient under such economic condition that I think has proven that. Even without deviating from the current target customers, large corporations and banks, no change in our risk profile. The bank has many opportunities to grow and to increase our product offering. We have a long-standing and very close relationships with the best management in the region. At the same time, we have a small share of wallet, and we have an important upside there. Aside of our current product offering, bilateral , trade finance loans syndications, the letters of credit, we see Bladex increasingly offering more structured trade finance value-added type products and solutions for clients. Now while the Board and management, revisits largest business strategy for the future, we will continue to grow. And we -- the commodity boom is helping fuel part of that growth. Our syndication team is seeing more and more traction, as Ani mentioned before. Fees generating from our letters of credit are already up to pre-COVID levels. So once again, we're -- we see many avenues for growth as the Board and management revisits the strategy. And I think we've proven also that we don't need to relax underwriting standards to do that. I think that's what I have to say in that respect.
Operator: Our next question comes from Jim Marrone with Singular Research.
Jim Marrone: Yes. Maybe if you could just touch upon a little bit about the increased exposures, both by country as well as industry. So I see that the exposure to Brazil has been increased. And I believe Brazil is still the hardest hit from the pandemic. So just to get your thoughts on the increased exposure to Brazil with respect to the pandemic and as well, in terms of the industry, increasing your exposure to commodities, given the volatile nature of that industry and maybe just the thought process of increasing that exposure and maybe some risk management techniques or other strategies you have in regards to industry?
Jorge Salas: So 2 things. Yes, Brazil has been hit hard on the health side. But the economy is growing. Most of our exposures in Brazil are financial institutions. We don't see -- in top-tier clients, we don't see -- we feel very comfortable with our exposures. In Brazil, we don't see any material risk in the financial systems. And neither would be -- we have some also exposure on commodity-related green clients in Brazil. Regarding your question on the commodity risk and price volatility, as I mentioned during my remarks, most -- we're thinking of this as short-term trade related. So the price volatility of commodities, it's already hedged by the tenor, and we don't see -- we're not financing long term and treating this as a super cycle. We're seeing this as an inflation in prices and increase in volumes, and we're treating it that way. So we are taking advantage of that. That is going to trickle down in many economies. And that's what we're doing there. But I think more importantly, also, in one of our slides, you saw the graph broken down by industry and also by countries. We do not expect major changes in that risk nature.
Jim Marrone: Just one follow-up question, just in regards to the net interest margin. So it seems like interest rates are going to be held low for the remainder of 2021. So I imagine it would have a negative impact on the net interest margin and the net interest income for full year. So perhaps, you can just discuss some ways in which you are managing that margin and perhaps in some way, take advantage of the low rates to put it to more in your favor? And then maybe discuss maybe if there is going to be a raise in rates in 2022, perhaps to combat higher inflation and overheating economy, what would you anticipate in terms of margins and income?
Jorge Salas: Sure. Great question. Yes. As Ani mentioned, there is no doubt that the historically low LIBOR rates are impacting revenues. It is certainly a challenge. We're tackling it 2 ways. One is volume, and we have increased volume. We plan to keep increasing it. We have traction. We have a good pipeline. We have a region that's improving. And then the other thing is obviously fee-generating products. So where I said letter of credits, value-added transactions like the syndications we just announced and more that we're going to -- that're going to come in the future, medium-term lending, that's going to help us in that respect.
Operator: Our next question comes from Mike Hutchens with Brandes Investment Partners.
Mike Hutchens: I've got a question on the evolution of spreads in the coming quarter. So on Page 4 of the presentation, it points out that there's a meaningful difference between the front book and the back book in terms of spread. But on the other hand, it seems like looking at the cost of your interest-earning liabilities, there might be some room on that side. So my first question is just how would you expect the kind of loan-to-deposit spread or loan to -- or the overall spread to act in the coming quarters? You think it can remain stable at current levels? And two, you're running with $820 million of cash in due from banks. Is there an opportunity to deploy some of that into the securities portfolio or you're holding excess liquidity for loan growth? And third, just be interested in a little more detail on how you expect to utilize the share repurchase program? Will it be a like gradual and consistent buyback or more opportunistic?
Jorge Salas: So regarding the cash, as you can see, we've been growing the investment portfolio. We plan to keep growing it. Of course, we're monitoring our ability to lend as well. But the idea is to use that cash in a more profitable way with a world that is flooded with cash everywhere. So you can expect to see continued growth in our investment portfolio. Spreads are tightening. As I said before, it's going to be a challenge during 2021. The future -- after 2021, it's a little -- it's harder to predict. We are seeing some inflation. Obviously, that can help us in the future on our top line. But certainly, short term, it's going to be a challenge. I think there was another question. Driven by.
Ana de Mendez: About the use of the speed or.
Jorge Salas: Of the share buyback. I'd prefer not to comment on that. It will depend on market conditions. What I can tell you is we can certainly buy about $60 million, and it's not going to affect our capital ratios that are important to maintain going forward.
Operator: Our next question comes from Brad Golding with Christofferson, Robb & Company.
Brad Golding: I want to focus a little bit more on just loan growth because it seems like, while there are challenges in some of your target countries, are also tremendous opportunities now and whether you want to call it a commodity super cycle or just increasing commodity prices. Clearly, there's going to be large benefits to credit and need for working trade capital. Can you just talk about what is encouraging you and how you think you can get the loan book back up, let's say, to pre-COVID and beyond?
Jorge Salas: Sure. As I said, the region's GDP growth estimates have been revised upwards. We are taking that in our pipeline. We are sensing way more demand of financial institutions, which is half of our portfolio, as the economies recover. We're looking in the corporate side. We're looking at a lot of companies are asking us to help them, whether liability management. And then we have, obviously, the commodity -- direct commodity-related companies. So we have been growing for 3 quarters, and April's numbers are also showing growth. And if things keep going this way, I don't see why not we cannot reach eventually 2019 levels. How fast? Well, it would depend on the recovery of the region.
Brad Golding: I just see a lot of opportunities here. And you guys have been great stewards of capital. You've been fantastic on -- fantastically disciplined on your lending book. And from the outside looking, it looks very much like there's tremendous growth opportunity.
Jorge Salas: We see it the same way.
Operator:  We have a question submitted via webcast from Banco Atlantida who asks, what is your assessment of the current situation in Central America? And is it considered as a market where that expected growth can be attained?
Jorge Salas: Good question. Sorry, so that's a good question. Central America, are -- they have many realities. So you have political challenges. Obviously, now in El Salvador, you have fiscal pressures in Costa Rica. You have Guatemala doing a little better. You have -- you still have inflow of remittances in almost every country. So Central America, just a different reality. Central America is a significant part of our portfolio. And a significant part also of our profits and bottom line. So we know the region, we know the players. We are in contact with the central bank -- sorry shareholders constantly. And yes, depending on the country, we do see a lot of potential. I think the recent syndication loan that we did, qualified, by the way as ESG, it's a top name in Central America. And we have others coming.
Operator: At this time, we have no other questioners in the queue. So I'll turn it back to our speakers for closing comments.
Jorge Salas: Well, thank you for your questions. And I have no further comments. See you on the next call, and feel free to call us if you have any further comments about.
Ana de Mendez: Thank you, very much.
Operator: Thank you. Ladies and gentlemen, that concludes this morning's presentation. Thank you for your participation. You may now disconnect.